Operator: Ladies and gentleman and welcome to the first quarter 2008 Bois d’Arc Energy earnings results conference call. At this time, all participants are in listen-only mode. We will be facilitating a question-and-answer session towards the end of today’s conference. (Operator Instructions) As a reminder this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today’s conference Mr. Gary Blackie, Chief Executive Officer; please proceed.
Gary Blackie: Thank you very much. Welcome to Bois d’Arc Energy’s 2008 first quarter conference call. Today marks our third year anniversary of being a publicly traded New York Stock Exchange company. We will discuss our first quarter 2008 financial and operating results on this call and you can view a slide presentation during or after this call by going to our website at www.bolsdarcenergy.com and clicking on presentations and there you will find the presentation entitled first quarter 2008 results. I am Gary Blackie, President Chief Executive Officer of Bois d’Arc and with me today are Roland Burns our Chief Financial Officer and Mr. Jay Allison our Chairman. Our discussion today will include forward-looking statements within the meaning of security lows. While we believe the expectations in such statements to be reasonable, there can be no assurance that such expectations will prove to be correct. We recorded record high financial results in the first quarter of 2008 driven mostly by strong oil and gas prices. Our production increased 6% in the quarter and was held back by two short ends at two platforms which if producing would have added another 6 million cubic for gas equivalent per day to the 115 million cubic foot equivalent per day reproduce in the first quarter. With the strong oil and gas prices our revenue soared to a $113 million and it regenerated EBITDA of $96 million and operating cash flow of $79 million. We had the most profitable quarter in our history with net income of $38 million or $0.56 per share. In addition to the first quarter results we will also discuss on this call the proposed merger of the company with Stone Energy that was announced on April 30. In the Merger our stockholders will receive $13.65 in cash and 0.165 shares of Stone Energy for each share of Bois d’Arc that they own. The combination of these two outstanding companies will create the premier Gulf of Mexico Shelf Company; the new company being well positioned for future growth with its long cash flow, large inventory of expiration projects both on the shelf and in deep water and a strong balance sheet. I will now let our CFO Roland Burns go over to financial results in more detail.
Roland Burns: Thanks Gary. Our production averaged to 115 million cubic feet of natural gas equivalent per day in the first quarter as shown on slide three in the presentation. Production increased 6% of our production in the first quarter of 2007 and was down slightly from production in the fourth quarter of 116 million per day. During the quarter we had production shut in on two of our platforms with a bar on the ship show, 118R platform on January 1 and then we had a ship explosion near our pavilion blocks 12 and 51 that caused the TGPO pipeline to be shut in while the accident is investigated, any repairs are made. As a result of these two properties being down during the quarter our production was $6.1 million per day lower than it would have been otherwise. The ship shelf platform returned to service in late February and the remaining platforms are expected to be back on in late May. Despite the flush start we still expect production increase to 46 to 49 BCSC this year as compared to the 42.2 BCSC we produced in 2007. On slide four we cover our oil prices, our average oil price soared 73% in the first quarter of 2008 to $101.01 per barrel as compare to the $58.33 we realized in the first quarter of 2007. We continued to have high price realizations as our oil price was a 103% of the average NYMEX WTR price in the quarter. Our average gas price was also strong this quarter as shown on slide five, our average natural gas price increase 25% in the first quarter to $8.85 per mcf as compare to $7.10 in the first quarter of 2007. Our realized gas price was 110% of the average and we have nymax price in the quarter reflecting the strong Gulf Coast Market for natural gas. Our production growth combined with the strong oil and gas prices increased our oil and gas sales which are represented on slide six. Our oil and gas sales increase to 49% in the first quarter to $113 million as compare to $76 million in 2007’s first quarter. As shown on slide seven our earnings for interest taxes, depreciation, amortization and expiration expense and other non-cash expenses or EBITDAX increased 56% in the first quarter to $96 million as compare to $62 million in 2007’s first quarter. Slide eight covers our operating cash flow; our cash flow increased 43% this quarter to $79 million as compared to cash flow of $55 million in 2007’s first quarter. As shown on slide nine we reported net income of $38.1 million or $0.56 per share for this quarter as compare to $11.9 million or $0.18 per share in the first quarter of 2007. The record net income was probably attributable to the improved oil and gas prices. There are gear operating costs on slide 10; our net-in cost this quarter averaged to $1.47 per mcfe as compare to $1.31 in the first quarter of 2007. The higher rate was partially attributable to the shut in production that we had during the quarter. Our depreciation, depletion and amortization per mcfe produced decrease to $2.69 per mcfe in the first quarter as compared to $2.86 in 2007’s first quarter. The lower rate reflects the improved finding cost that we had toward the end of last year. On slide eleven you can see our capital structure as of March 31. We had $56 million in debt outstanding under our bank revolving credit facility as we were able to pay down $24 million of our debt in the first quarter. Our volume base end of this facility is $350 million given that the additional availability of $294 million at the end of the quarter. We ended the quarter with $697 million in book equity and our debt to book acquisition ratio is now to the very low 8%. We did repurchase a 142,300 of our common stock in the first quarter under our stock repurchase plan. I‘ll now turn it back over to Gary.
Gary Blackie: Okay thank you Roland. We spent $58 million on capital expenditures in the first quarter as compared to the $63 million we spent in 2007’s first quarter. We have drilled three successful wells so far this year. We spent $17 million on exploratory drilling and $19 million on development drilling. We also spent $13 million on production facilities re-completions and abandonment work. In order to support our exploration efforts we spent $9 million on acquiring new leases. On slide 13 as it shows we drilled three successful wells a 2.6 net so far in 2008. The first was the well at Ship Shoal block 97 which was drilled to a depth of 12,983 feet and encountered 71 net feet of pay in two high quality gas sands. This well was put on production in February at a rate of 10.3 million equivalents per day and in this well we have a 78% working interest. The second well was drilled to test the “Perch” prospect at Ship Shoal block 120. This well was drilled to a depth of 5,000 feet and encountered 94 feet of pay in eight commercial sands and first production for the wells is expected to be in the second quarter. We have a 100% working interest in the Perch well. We also drilled an exploratory well at South Pelto block 21 to test the "Chinook" prospect and this exploratory well was drilled to a depth of 18,250 feet and encountered 38 feet of pay in the objective sand. First production for this well is expected July 1, 2008 and we have a 79% working interest in this well. We are currently drilling a 16,500 foot exploratory well to test our "Kelsie" prospect at Ship Shoal block 95. Next slide please. We have an extensive inventory prospect which is showing on this slide 14, all of which were developed by our team of explorationists. We have 76 defined prospects both conventional and deep shelf prospects and we estimate that these prospects have un-risk reserved potential of about 2.8 trillion cubic foot equivalent. To add to the 139000 undeveloped acres we have in inventory we participated in the central Gulf of Mexico lease sale held on March 19, 2008. We are apparent high bidder on 11 for the 15 blocks that we bid on. If all of the blocks are approved by the mineral management service we will be awarded leases on 55,250 acres of bids totaling $10.8 million. 10 of the leases are in the shelf and water depths of less than 70 feet and one lease covers a block with a water depth of 1,362 feet. We have identified 15 prospects on leases with reserve potential of $150 billion cubic foot equivalent. Next slide please. We recorded on April 30 that our board of directors approved a merger of the company with Stone Energy Corporation and that we plan to submit to our stockholders for consideration at a special meeting. The merger combines complimentary exploitation and expiration properties in the Gulf of Mexico and creates larger better positioned faster billing Gulf of Mexico independence. This transaction valued our company at $1.8 billion which equates to $24.85 per share. 55% of this amount will be paid in cash and 45% will be in shares with the combined company, in other words our shareholders will receive $13.65 in cash and 0.165 shares of Stone Energy for each share of Bois d’Arc that they own. The stock portion of the consideration will be tax free for shareholders. Our shareholders will own 28% of the combined company and we expect the transaction to close in the third quarter. On slide 16, we cover some highlights of the combined company. The merger combines exploitation strengths of Stone Energy with expiration strengths and opportunity of Bois d’Arc. The combined prospect inventory provides five to six years of identified exploitation and expiration opportunities. The larger company is also more suited to pursue a high impact deep water expiration program. The combined company will also continue to focus on building a meaningful on-flow position primarily in the Marcella Shale in the appellation basing. In addition to the operational highlights the transaction is accretive to Stone’s earnings and cash flow per share. A combined company will have the manageable balance sheet and will be generating significant free cash flow. The free cash flow will be available for paying down the acquisition debt accelerating the drilling program or for future share repurchases. On slide 17, we have a map of how Stones and Bois d’Arc’s properties relate to each other. Bois d’Arc has 37 producing blocks and Stone Energy has 57 producing blocks on the shelf giving the combined company 94 producing blocks. Bois d’Arc has 49 undeveloped blocks and Stone has 42 undeveloped blocks on the shelf for a total of 91 blocks. In deep water Stone has 47 blocks and Bols d’Arc has three. In the aggregate, the combined company will have 185 blocks on the shelf and 50 deep water blocks and will be one of the largest Gulf of Mexico companies. This concludes our first quarter conference call and we will now open the lines for questions.
Operator: (Operator Instructions) And your first question comes from the line of Wayne Andrews of Raymond James.
Wayne Andrews – Raymond James: Good morning Gary and congratulations on the nice quarter. I have two questions for you; one, could you just kind of highlight what wells are coming up an inventory that are definitely going to get started while your involved in the process with the Merger and then maybe you just comment on some of the opportunities that you might be looking forward to pursuing with some additional capital strength behind you in the combined company. Thanks.
Gary Blackie: Sure, thank you. Right now as I said we still have a Kelsie log drilling in Ship Shoal block 95 and we have also a rig in Ship Shoal 117 that’s drilling a 20,000 foot measure depth well and that basically just started so we got some time to go on that. As you can imagine it’s a directional well and it’s going to be a little challenging drilling that but we’ve got confidence we’ll get that well down. We’re also going to move a barge rig in east of the river in the main pass area to drill two wells in the main pass 21. The one project I’ll look forward to in the coming months is a place that we’ve developed in the South Tim 100 area. It’s relatively shallow for Bois d’Arc reputation. It’s only -- the reservoir is only 5700 feet but it’s an opportunity we have been working on for the last year, so and everything looks really promising and if it continues to work we can drill as many as eight or nine wells in there, so we’re going to start that project, and there’s a couple of other wells in the Ship Shoal 113, a smattering of puds and exploratory wells, as you can imagine and so we’re going to go forward with those and as far as opportunities in the combined companies I see the cash flow as a big strength and Stone has a really good inventory of projects in deep waters. So, I think if you look down the road three or four years from now where the opportunities lie to grow a company this size would certainly be in the deep waters. So I’ll look forward to seeing those opportunities drilled along with our own although somewhat smaller deep water inventory too. So that will be exciting. I think our position in the Marcello Shale what I’ve learnt from it in the last few weeks is that’s encouraging also, so I think also to move our vast acreage holdings into the stone system. As you we really only have twenty two employees and they have 170. So exploitation although we can do it, it’s not been one of our strengths. We always like to explore, so we can move our asset base to their exploitation setup and I think we’ll realize value there off of our existing property base, so the whole thing to me is really encouraging.
Wayne Andrews – Raymond James: Excellent. Thanks for your response. I think it makes great sense as well and we look forward to hearing from you as a part of the combined company, thanks Garry.
Roland Burns: Wayne this is Roland, I might add your had a question about some of the new projects coming on to production and there are a couple of them that are -- most of them are probably very, very late second quarter very early third quarter but our South Timbalier 81 discovery last year Butch Cassidy, we expect that to be -- to come on line probably very beginning of the third quarter. The Perch prospect that Gary talked about today at Ship Shale 120 that will hook into the Ship Shale at a 113 complex, probably it’s a similar time frame, it will be very late second quarter, early third quarter and then at last at the other discovery we now decided to call it a day, topped up with 21 Chinook -- we’ll hook into our South Pelto 22 platform, that’s probably towards late July or so. Those are the bigger projects that will have an impact to production as well as to return of our remaining production which hopefully is towards late may when the service is returned there.
Operator: (Operator Instructions) And I’ll now turn the call back over to management for closing remarks.
Roland Burns: Well thank you. Sort of a bitter sweet; probably one of the last quarter conference call for Bois d’Arc as an independent New York Stock Exchange Company, but I am looking so forward to the combination of the two companies and working with Stone energy. I think that the combination provides a lot of potential for both companies in the future and great cooperation so far between the two managements and I see nothing but positive for the future. Thank you very much for participating in the first quarter conference call.
Operator: Thank you for your participation in today’s conference. This concludes the presentation and you may now disconnect.